Operator: Welcome to the LGI Homes Third Quarter 2017 Conference Call. Today's call is being recorded and a replay will be available on the company's website later today at www.lgihomes.com. We have allocated an hour for prepared remarks and Q&A. [Operator Instructions] At this time, I will turn the call over to Rachel Eaton, Chief Marketing Officer at LGI Homes. Ms. Eaton, you may begin.
Rachel Eaton: Thank you. Welcome to the LGI Homes conference call discussing our results for the third quarter of 2017. Today's conference call will contain forward-looking statements that include among other things, statements regarding LGI's business strategy, outlook, plans, objectives and guidance for 2017. All such statements reflect current expectations. However, they do involve assumptions, estimates and other risks and uncertainties that could cause our expectations to prove to be incorrect. You should review our filings with the SEC, including our risk factors and cautionary statements about forward-looking statements section for a discussion of these risks, uncertainties, and other factors that could cause our actual results to differ materially from those anticipated in these forward-looking statements. These forward-looking statements are not guarantees of future performance. You should consider these forward-looking statements in light of the related risks and you should not place undue reliance on these forward-looking statements, which speaks only as of the date of this conference call. Additionally, adjusted gross margins and non-GAAP financial measures will be presented on this conference call. The presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. A reconciliation of adjusted gross margin to gross margins, the most comparable measure prepared in accordance with GAAP is included in the earnings press release that we issued this morning and in our quarterly report on Form 10-Q for the third quarter of 2017 that we expect to file with the SEC later today. This filing will be accessible on the SEC's website and in our Investor Relations section of our website at lgihomes.com. Joining me today are Eric Lipar, LGI Home's Chief Executive Officer and Charles Merdian, the Company's Chief Financial Officer. With that, I’ll now turn the call over to Eric.
Eric Lipar: Thank you, Rachel and welcome to everyone on this call. We appreciate your continued interest in LGI Homes. As we celebrate the success of our hometown Houston Astros winning the World Series, we recognize that Houston is strong, but not done rebuilding. We continue to keep the people of southeast Texas and Florida in our thoughts and prayers. As a company, the impact Hurricane Harvey and Irma had on our operations in Houston and Florida was minimal and most importantly, all of our employees and homeowners are safe. Physical damages directly related to both storms total less than $200,000 and as a company, we lost just one week of sales in the affected areas and experienced only minimal construction delays, generally limited to a week. Harvey and Irma caused some of our August closings in Houston to push to September and delayed some September closings in Florida to October. Overall, we expect these events to have no impact on our annual 2017 closings, however, we are anticipating increased pressure on labor and material costs, which will be a headwind to gross margin, but the overall impacts to the company are expected to be minimal. Today marks our fourth anniversary of becoming a public company. At the time of our IPO, our objective was to fuel our growth and replicate our business model across the country. In the past four years, we have expanded into more than a dozen new markets, tripled the size of our organization and seen more than a 400% increase in our stock price since our IPO at $11 per share in 2013. We have done all of this, while maintaining our culture and demonstrating that our unique operating model is sustainable. With that, I would like to thank all of our employees for their hard work, dedication and loyalty to LGI. Because of your outstanding performance, we are proud to announce that we delivered another impressive quarter, highlighted by record setting closings, revenue and net income. For the quarter, we closed 1729 homes generating approximately $366 million in home sales revenue, which represents a 69% increase over the third quarter of 2016. Breaking it down, let's first take a look at highlights from our operations in Texas, comprised the results from Houston, San Antonio, Dallas Fort Worth and Austin, our Texas operations generated 830 closings in the third quarter, representing approximately 48% of our total closings for the quarter. These 830 closings also represent a 50% increase in closings for Texas over the third quarter of last year. In addition, the absorption rate in Texas was the strongest across all divisions, averaging 9.9 closings per community per month. Our concentration outside of Texas increased during the third quarter to 52% of our closings compared to 47% of our closings in the third quarter of last year. The Southwest Division provided 15% of our home holdings; the Southeast Division provided 16%; the Florida Division provided 17% and the Northwest Division contributed 4%. As we have discussed on previous calls, we anticipate our percentage of closings outside of Texas will continue to increase, further diversifying our operations. Our company wide absorption in the third quarter averaged 7.6 closings per community per month, an increase from the third quarter of last year with 6 closings per month. Our top five markets for the quarter were Fort Myers leading the way with 13.2 closings per community per month; Dallas Fort Worth, with 11.3; Austin with 9.8; San Antonio with 9.6 and Houston with 8.8 closings per community per month. For the past seven years, LGI Homes has been and continues to focus on growth. We ended the third quarter with 77 active communities, which is an increase of 18 over the 59 active communities that we had at the end of the third quarter last year. These 18 communities were spread throughout the country with 4 in Houston, 3 in Nashville, 2 in Seattle and 1 each in Phoenix, Portland, Orlando, Jacksonville, Atlanta, Charlotte, Raleigh, Austin and Dallas. In addition to growth through community count, we are seeing success with what we are referring to as our wholesale business. Over the past 12 months, we have experienced increased interest from the single family rental sector to purchase homes. We have been working with these investment groups on identifying mutually beneficial communities where we can deliver homes for them. After closing 72 of these homes in the first half of 2017, we delivered an additional 96 homes in the third quarter. These closings come at a lower gross margin, but similar net margins because of the savings on SG&A expense. Although wholesale closings still represent a small percentage of our 1729 closings for the quarter, we are excited about future revenue and closings that can come as a result of these relationships. We received mortgage statistics from certain preferred lenders, which provide financing to approximately 70% of our business nationwide. Based on these stats, our buyer profile this quarter had an average credit score in the 650s with an annual household income of approximately $60,000 per year. 75% of our customers utilized FHA financing, 15% obtained a VA loan, 5% used USDA and another 5% used conventional financing. With that, I’d like to turn the call over to Charles Merdian, our Chief Financial Officer for a more in-depth review of our financial results.
Charles Merdian: Thanks, Eric. Home sales revenues for the quarter were $365.9 million based on 1729 homes closed, which represents a 69.2% increase over the third quarter of 2016. Sales prices realized from homes closed during the third quarter range from the 150s to over $500,000 and averaged $211,623, a 2.9% year-over-year increase and slightly below the previous quarter. This decrease from the prior quarter was primarily due to a higher percentage of our closings in lower priced markets. By division, our average sales prices for the third quarter were approximately 200,000 in Texas, 259,000 in the Southwest, 191,000 in the southeast, 195,000 in Florida and 327,000 in the northwest. Gross margin, as a percentage of sales, was 25.1% this quarter compared to 26.3% for the same quarter last year. As Eric mentioned earlier, included in this quarter's closings were 96 wholesale units closed at lower gross margins, reducing our overall margin by 50 basis points. Gross margin varies quarter to quarter, primarily based on higher construction costs offset by increases in sales prices and mix. Construction costs, as a percentage of home sales, increased on homes closed in part due to labor and material increases, but also as a result of increased overall production volumes, which has required us to expand our labor base to sustain the higher production rates. Increases in sales prices were not sufficient to offset these increased costs. We also introduced a number of new or replacement communities that realized slightly lower margins and this is generally expected for our new communities and we expect to see margins gradually increase as the community matures and improves its leverage. Our adjusted gross margin was 26.5% this quarter compared to 27.7% for the third quarter of 2016, a 120 basis point decrease. Adjusted gross margin excludes approximately $5.1 million of capitalized interest, charged to cost of sales during the quarter, representing 140 basis points and consistent with previous quarters. For the year-to-date, gross margin was 26%, compared to 26.1% for the same period in 2016 and adjusted gross margin was 27.4% compared to 27.5% for year to date ‘16. Combined selling, general and administrative expenses for the third quarter were 11.3% of home sales revenue compared to 12.8% in the prior year. Selling expenses for the quarter were $26 million or 7.1% of home sales revenue compared to $17 million or 7.9% of home sales revenue for the third quarter of ’16, an 80 basis point decrease primarily due to operating leverage realized related to advertising costs. General and administrative expenses were 4.2% of home sales revenue compared to 5% for the third quarter of 2016, an 80 basis point decrease attributable to operating leverage realized from a higher number of homes closed. Pre-tax income for the quarter was $50.9 million or 13.9% of home sales revenue, an increase of 30 basis points over the same quarter in 2016. We generated net income in the quarter of $33.7 million or 9.2% of home sales revenue, which represents earnings per share of $1.55 per basic share and $1.40 per diluted share. Weighted shares outstanding for calculating diluted earnings per share include the impact of our outstanding convertible notes. In the third quarter of 2017, our average stock price was $44.44, exceeding the conversion price of $21.52 and therefore the convertible notes were dilutive. Our strong stock price performance this quarter resulted in an approximately 2 million share increase to the weighted average shares outstanding for the diluted EPS calculation for the quarter. Since our inception, one of our objectives has been to deliver an excellent return to our investors and since our IPO, we have now generated over $240 million in earnings, which we have reinvested in growing our business, enabling us to deliver returns on average equity in the mid-20s. Third quarter gross orders were 2152, net orders were 1512. Ending backlog for the third quarter was 1328 homes compared to 777 last year and the cancellation rate for the third quarter of 2017 was 29.7%. We ended the third quarter with a portfolio of approximately 37,000 owned and controlled lots. As we've mentioned in previous calls, our objective is to build a sufficient number of move in ready homes to meet our expected closings. And at the end of September, we had approximately 3300 homes complete or in progress compared to 1600 at December of 2016. In addition as of September 30, we reported over $1 billion in assets for the very first time. In May of this year, we increased our revolving credit facility to $600 million with $15 million of additional capacity available under an accordion option. At September 30, we had $390 million outstanding under the facility and our borrowing capacity was approximately $203 million. In addition, we have $85 million in convertible notes outstanding. At September 30, our gross debt to capitalization was approximately 51% and net debt to capitalization was 48%, down 240 basis points from the previous quarter. I would like to turn it back over to Eric.
Eric Lipar: Thanks, Charles. In summary, the third quarter was another outstanding quarter for us, contributing to a great first nine months of 2017. Let me provide some guidance and thoughts on October and looking ahead to the remainder of the year. The quarter is off to a great start with 531 closings in October, up more than 50% from the 351 closings in October of last year. The 531 closings came from 79 active communities, resulting in a very solid absorption pace, averaging just over 6.7 closings per community. This brings our total through the first 10 months of the year to 4532 closings. Based on the strength of our October closings and the continued demand from customers to move from their rental situation to home ownership, we are raising our current closing guidance for 2017 from more than 5000 homes closed to more than 5400 homes closed. We continue to believe our community count will end the year between 75 and 80 active communities. As we close out 2017, our focus is also on continuing our nationwide expansion. Last quarter, we provided the update that we had started construction and sales in both the Minneapolis and Winston Salem markets. We have now had our first closings in these markets and expect to continue to expand community count in these markets during 2018 and 2019. We have also started home construction in the Oklahoma City market. We expect to be open for sales in the second quarter of 2018 with closings during the second half of 2018. The Oklahoma City market will be managed by our leadership team out of Dallas Fort Worth and is now combined with our Texas Division to form our new Central Division. In addition, our entry into California continue to move forward. Since our last call, we have closed on finish lots in the Sacramento market and we expect to start home construction during the next 90 days to allow us to open for sales in the spring and have closings in the second half of 2018. As Charles mentioned, our average sales price in the third quarter was nearly flat with the second quarter. We expect to see this trend continuing in the fourth quarter, resulting in our average sales price for the year remaining within our previous guidance of $210,000 to $220,000. We expect gross margin for the fourth quarter to be similar to the third quarter and the full year 2017 to remain within our historical range of 25% to 27% and adjusted gross margin to be within our historical range of 26.5% to 28.5%. Given our increased closing guidance and assuming similar average sales prices, gross margins, SG&A and taxes within our expected ranges and the overall continued strength and market conditions that we have seen in the housing market during 2017, we are raising our full year basic earnings per share guidance from $4.25 to $4.75 per share to a new range of $4.75 to $5.15 per share. Now, I'll be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from Michael Rehaut of JP Morgan.
Michael Rehaut: Congrats on the quarter and great results obviously coming out of Texas. I guess just on the performance in Texas. It obviously remains a core strength of yours, doing nearly 10 a month in the quarter. I just wanted your thoughts on the sustainability of that rate, I guess you know I think in the past, Eric, you’ve talked about the biggest influence on sales pace being more credit availability and lending standard, driven by lending standards rather than interest rates. Obviously, we've seen over the last couple of years, what I'd consider to be a modest easing of those standards. But how should we think about the Texas businesses at that type of a rate going forward? Do you think there's further upside to that? Do you think that perhaps this quarter benefited from some communities more hitting their stride? I’d love to hear your thoughts around the Texas pace.
Eric Lipar: Mike, this is Eric. Thanks for the question. And yes, Texas continue to be strong. I mentioned during the call, but all four markets for us, DFW, Austin, San Antonio and Houston, all had at least 8.8 closings per month per community. And right now, we look at it nationwide as a very strong market for us. Demand for customers looking to go from a rental situation to home ownership, we think is very strong. We’re seeing strong demand across all our markets, particularly in Texas. We're dealing with the low supply market of new homes. So I think that that helps us. The rates have maintained lower, which obviously when customers are looking at affordability and qualifications, the lower the monthly payment, the more people are going to be able to get qualified. And we've also got our inventory in line. The demand has been there since the first quarter, but our absorptions per community, even in Texas were low and below average for us in the first quarter. So we had to get some inventory builds through houses and even more so on the development side. So we have improved in that area. Our sections and our lots and our deliveries to build houses on is a lot better shaped obviously and these absorptions say that. So, is there upside to these absorptions? I'm not sure because these are very strong absorptions for our community. One of our challenges going forward is going to be affordability. We anticipate home prices going up and that may lead to slightly lower absorption, as price increases, but certainly remaining strong. We got a great leadership team in all the Texas markets. It's where we've been the longest. We’ve got a lot of experience, sales reps and construction management now. So, we think Texas will remain strong.
Michael Rehaut: That's great, Eric. Thank you for that. I guess secondly, moving on to the gross margins. I appreciate all the detail there and how to think about fourth quarter margins, which you said you expect to be similar to 3Q. So you kind of in part anticipated, I guess one of my questions, but just around this topic, I mean perhaps even going into next year, obviously, the labor and material costs, we would expect them to continue in terms of seeing some inflation. Obviously, you're still going to have somewhat of a -- at least in the first half of the year as that business continues to grow a little bit, the wholesale impact. So just kind of your thoughts on, if you're talking about a couple of quarters in a row of gross margins -- margins being at the lower end of the range, what's the likelihood of perhaps that continuing into the first half of ’18? And would there be any drivers to maybe alleviate some of that pressure? You also mentioned increased production volumes with some perhaps newer crews coming online and new and replacement communities that maybe are starting out a little bit lower. So, I don't know if either of those could burn off, but should we be thinking about more in 2018, the lower end of this gross margin range or again could some of these factors help out that are also depressing 3Q?
Charles Merdian: Mike, this is Charles. I'll start and Eric can add, but I think you summarized it pretty well. I mean that's what we wanted to cover is really the two components of increasing costs are one related to inflation. We're certainly seeing material and labor pressures. Certainly, lumber has been one of the ones that we've highlighted as increasing significantly. The other piece in terms of ramping up our production, creating a need for additional labor and typically and we mentioned it on the last call that typically that next labor, the next guy is going to be a little bit more expensive than the first one. So those two are definitely coming to play. The wholesale business is going to add a little bit more volatility than I think what we've historically seen in our gross margin, just given the fact this was a decent quarter with 96 closings, depending on where the wholesale units come in on a quarter-to-quarter basis, but the 50 basis points seems to be kind of the number when there's roughly 5% of the business is going to end up being about 50 basis points. So we feel pretty comfortable there. And I think we're really more so focused in the short term and then when we get back to in March is when we'll be able to add a little bit more detail and talk a little bit more about what we see in 2018.
Michael Rehaut: And just one quick one, you mentioned the 50 bp impact on gross margins from the wholesale business. So is it safe to assume kind of a similar benefit on the SG&A line given that you're talking about a similar operating margin?
Charles Merdian: It’s a great point. Yes.
Operator: Thank you. Our next question comes from Carl Reichardt of BTIG.
Carl Reichardt: I wanted to ask just a little more on wholesale, where specifically has that activity been. And as you think about that business, do you intend to try to keep it at sort of a 5% type of number or would that grow as you expand into new markets.
Eric Lipar: Great question Carl, this is Eric, I'll take it to start with, and Charles can to add it. So 96 closings in the third quarter, those were closings in ten different markets and 15 different communities spread throughout four states. So in the states if you want to get to that specific a level were Georgia, Florida, Texas and the state of Washington. So that's where the closings came in the third quarter. The biggest challenge we have in the wholesale business is just really lack of inventory, sales on the retail side if you will are extremely strong as you can see in the results. So there's not a lot of excess inventory or excess lots in order to create more sales in the wholesale business, but certainly demands there. And as a percentage of our closings, I would think it would remain similar in the next year, but the absolute number of them should be increasing and we look forward to growing that business in 2018.
Carl Reichardt: I think you said 3,300 homes finished or under construction, unsold double last year. And I assume that that's in part because you want to get a head-start on the sales process, so you're not short of inventories, you head in to what for others would be a slow winter month’s period but for you hasn’t been. And I'm assuming that's also the issue with the unabsorbed overhead in the directs right construction supers, those folks are building those houses, managing those houses. They haven't been sold yet, so shouldn't you get some gross margin leverage off of that as you move into the first quarter and sort of help offset some of the pressure this quarter.
Charles Merdian: This is Charles, just to clarify the 3,300 are not necessarily all unsold that's total albeit or work in process. And then as far as from a production standpoint, I mean one of our focuses this year has been to build more efficiently. So we've actually seen the ability this year to produce more houses with similar construction, so I think your point is valid. There's an opportunity there to take advantage of spreading that overhead which could have a positive impact to gross margins. But I think going back to our earlier comment about increasing costs, whether they end up being relatively neutral, it will certainly help mute some of the inflationary costs that we are seeing on the labor and material side.
Carl Reichardt: And then one more - last one, just in terms of that as you've grown larger now, how are you working with national contracts with building material suppliers. What progress have you made and with what subsets? Thanks very much.
Charles Merdian: So we do have a handful of national contracts that we work with primarily more of your items like appliances and those types of things. I mean, I think construction for us I mean is still local business. I mean focus on getting local expertise and local knowledge. So I think the answer really is, it’s case by case and really more market specific as far as whether we have an opportunity to really accentuate or improve margins based on national contracts alone. I would probably describe it as relatively minimal and within the margin of error in terms of what we see on a quarter to quarter basis for margins.
Operator: Our next question comes from Stephen East of Wells Fargo.
Stephen East: Quick question on the communities as you look to ’18. Just trying to understand how quickly do you reach saturation when you move into new markets? How much headroom do you have? I guess if you're looking at your current markets that you're in, what type of growth would you expect from those current markets? And then you've got three new markets that you've already talked about Oklahoma City and et cetera, more to come in ’18, anything you can share with us there.
Eric Lipar: Yeah thanks Stephen, great question. I mean as far as getting deeper in the markets, we really focus on kind of major arteries going out of major cities. So every city has got a range and there's going to be fluctuations based of community count. Our Houston market, we went down for a while there and got as low as six in community count and now we're back up to ten. But the Texas communities in general don’t experience a lot of growth in community count. Our community count growth is going to be going deeper in our newer markets. For example, we're just getting started in Minneapolis, only have one community in Portland. So we’ll be going deeper in those two markets. North Carolina, Raleigh, and Winston-Salem are fairly new for us, so that's an opportunity to go deeper. And then like we also talked about on the call, California will be added to community counts. We've got a first community already ready to go and then Oklahoma City. We're starting the process of getting going in Las Vegas. So that had a chance of getting in a community count in 2018 but probably more 2019 as far as meaningful communities. So we continue to expand but most of the depth will be in our recently expanded into cities.
Stephen East: And then one follow-on quickly on that. Do you have any major communities that you see burning off in the fourth quarter into the first quarter on that? And then the other question I had was, Charles, would you mind - could you bridge the gap for us a little bit more on the gross margin, you had about fifty bps from wholesale. You talked a lot about incremental costs that some of them are true inflationary costs in the housing cycle, but some are from Florida and Houston. And then you had a mix shift toward lower profit markets if you will is what it sounded like a little bit. Could you maybe bridge the gap for us on that.
Eric Lipar: Stephen, this is Eric, I’ll take the first part of question. I mean we're continuously just like every other builder replacing communities and we do have some top performing community selling out that we're replacing right now. But that being said, we don't anticipate a situation like last year where we had four or five of our top communities really closing out at the same time or being between sections. So we don't anticipate that first quarter like we last year. Other than the first quarter is always historically from a closing standpoint our lowest quarter because of sales through the holidays.
Charles Merdian: And then following up on gross margins, so we're really talking about 120 basis points, probably year-on-year comp. And then the last two years, both full-year 2015 and 2016, adjusted gross margins were about 27.8. So when you put that into perspective, if you account for of the 120 basis points, 50 basis points in wholesale. And then a combination of not only the two factors that we talked about in terms of inflationary costs and ramping up production or increasing production, but also just the general volatility that we experienced when we introduced new communities, replaced communities, kind of the timing of those and how they ultimately fall in. So of the 70 basis points remaining of the 120 basis points really that we're accounting for if you will maybe half to two-thirds is related to the cost issue and then the other part is just the mix replacement and timing.
Stephen East: And just one last question, land spend as you look out into ’18, if you're not ready to give a full number, just relative to this year, where you - what direction you think it's going.
Charles Merdian: So this quarter was relatively light, as one of our lighter quarters. So you can see that as a result in our lower net debt to cap was a function of that, it's inventory is what really drives our capital needs. It will be lumpy I guess is probably the best way to describe it. We don't necessarily have a number yet for 2018, certainly be able to talk a little bit to it on the March call. But I think our goal is to have enough inventory in front of us, average size of anywhere from two to five years supply depending on the submarket. So to make sure that we're ahead of both production and sales. So I think a lot of it will depend on where we see the community count falling out for ’18 and what the needs are going to be a direct result of how far in advance if we're buying raw land and having to develop and having to develop it versus taking advantage of finished lots and being able to time our lot inventory based on acquiring finished lots rather than the time it takes to develop.
Operator: Our next question comes from Nishu Sood of Deutsche Bank.
Nishu Sood: So Eric, I wanted to hear your thoughts about capacity, I'm sorry the constraints that you would be seeing on your ability to grow closings. I mean clearly your pace of closings as picked up really nicely in the past four or five months. Where is the biggest constraint as you see it, kind of maintaining that growth trajectory. Is it the construction pace getting the spec units up, is it opening the new communities. Where is the biggest constraint as you see it at the moment.
Eric Lipar: Yeah I think, Nishu, we have people constraints like we’re focused on, so we got to make sure we have the right people in the right places and growing. And we've been growing a lot. So we need to make sure we're training everyone on our LGI processes because we're a systems-based company and that will ensure that we can grow consistently and take advantage of this market that we're in. And then also I think it's the development community talent. We have above average absorption pace, we talk a lot about this during the first quarter of this year. That these absorption levels you have to get some new communities, new sections, new developments on the ground quicker and that’s a lengthier timeline. We're doing a lot of development right now and it's not getting any easier to get new sections on the ground and dealing with the different municipalities. So I think that's probably the biggest headwind and continuing to increase absorption and closings overall is just the growth in getting developments in sections and obviously once that happens you've got to get the houses built.
Nishu Sood: And as you have kind of compounded your growth here, obviously a much larger organization now. I mean should we naturally be - I think you've kind of each year you're kind of been opening about you know you thought about opening ten to 15 new communities. Has the organization scale is up, is it going to be harder to kind of sustain or compound the growth rates that you've seen or are you building up enough people capacity, regional presidents et cetera to kind of be able to keep up the growth pace.
Eric Lipar: I think we're planning on growing. I mean our goal is to be a Top Five builder in the country and being into every market of size in the country. So we’ve got a lot of room to grow, but you have to have the people in place. And I think the size, it get harder to keep the percentages of growth increasing for sure. But as far as the absolute numbers of growth, I think we can continue growing community count and closings for years to come.
Nishu Sood: On the cost pressures and the margins, your business has had the power, there's obviously fluctuation in gross margins from quarter to quarter. But your business has had the, you know, your business model has had the power obviously to respond with pricing to get back to your target gross margins over the course of call it to two to three quarters when you have a fluctuation like that. Now is in weaker pricing environment, it’s not a pricing environment as stronger. Just wanted to make sure because obviously there is a lot of questions clearly about the gross margin this quarter and then continuing into the fourth quarter. Has that changed in your opinion or does your business model still retain the ability to keep you within your target range longer term.
Eric Lipar: I don't think that’s changed at all. I mean I think one of the strengths of our company and we pride ourselves in having consistent gross margins. Since we went public and ten years prior to that in homebuilding. And we would put this quarter up especially factoring in hurricane events and wholesale business is still being our consistent gross margin range. That’s what we talk about our historical averages, adjusted gross margin 26.5 to 28.5. And we think that trend is going to continue. Prices are going up, so we need to sure we're making diligent land decisions and not just buying just for growth sake because you can't maintain those margins and make bad decisions on the land buy. So we need to be diligent and make sure we're continuing to make good decisions. But we see that gross margin being consistent also in the future.
Nishu Sood: And just finally the mortgage data that you laid out, very interesting shift over time, you are pretty heavily USDA when you were more in Texas and that you could open your communities in those USDA boundaries. Now has shifted quite a bit, mostly to FHA. Is there - I mean, how has that impacted the business, what does that reflect about the business. Clearly you wanted to get that information out there. So I just wanted to make sure that we are understanding properly what that shift is meant for your business if anything.
Charles Merdian: I think we wanted to get those numbers out there just so everybody have a clear understanding that we weren’t 100% reliant on USDA financing. It was a greater percentage of our business, somewhere around 40% of our closings when we went public. And that's because we're primarily in Texas and we're a little farther out at our entry level communities. And a lot of communities qualify for USDA financing. And it's better because the mortgage insurance if a customer can qualify for USDA, we put the customer - the mortgage company is going to give them the best loan that they possibly can. But what's happened over the last couple of years is the maps that shows what communities are eligible for USDA financing has tightened as the population of the United States has grown. And also we've gotten into a lot of other markets outside of Texas including some higher priced markets like Denver in the northwest, which basically we don't do zero USDA business in those markets. And FHA Financing along with VA Financing, the mortgage requirements be a credit score or debt income ratios have loosened more than USDA has. So all of that together has just created the shift where USDA is now a very small percentage of our business. And FHA is about 75% of our business which is obviously a very large portion.
Operator: Our next question comes from Alex Barron of Housing Research Center.
Alex Barron: I wanted to ask about the wholesale business, was those homes sold to just like one of those type of investors or was it across multiple.
Eric Lipar: There was at least two in the third quarter, if not three, but it wasn’t a singular investor in the third quarter.
Alex Barron: And then I'm wondering if obviously those houses have lower margin, is there basically a corresponding savings in the SG&A, so that the operating margin basically the same.
Eric Lipar: Yes that is correct. I mean you nailed it. They get a discount off the retail price and then we do not pay sales commission or obviously have to spend the money on advertising and allow the SG&A expense get more corporate leverage. So we underwrite and the results show that wholesale closing results in a very similar net margin as a retail closing.
Alex Barron: And then just on the diluted share count, I guess it's been going up a little bit is that just I guess stock option issuance.
Charles Merdian: No, it’s more related to the convertible notes. So as the stock price rises, the dilutive effect of the convertible notes is more impactful.
Operator: You have a follow-up question from Michael Rehaut of JP Morgan.
Michael Rehaut: Just wanted to circle back on a couple of smaller line items here if it's okay. The tax rate has been touch under 34% the last couple of quarters. If that's something we should roughly model in for 4Q and next year. And also if you could just remind us of the basic share count outstanding and the implied, if the stock were to continue at this level, what that means for the fully diluted.
Charles Merdian: This is Charles. So yeah I would think the - I don't see any reasons or we don't have anything on the radar that would change the effective tax rate in the short term pending any tax policy changes that ultimately get through which obviously would be any changes to the corporate tax rate would be positive for us next year. But…
Eric Lipar: Michael, you’re not modeling a 20% corporate tax rate next year.
Michael Rehaut: We did put out a note.
Charles Merdian: So more to come, we'll see what happens there, but obviously that would be a positive for us. And then on the basic share count, we had approximately 21.7 shares outstanding on the basis shares outstanding at the end of the quarter. And then on the diluted effect, so the math would work out that you would take the difference between the average stock price at the delta between the average stock price and the conversion rate of the 21.52 and do the math to calculate how many shares you would have to issue to cover that premium if you will. So 2 million shares at outstanding impact on a $44 dollars stock price, so you can kind of ramp it up based on where you think the stock price is going to be for the full fourth quarter.
Operator: [Operator Instructions] Our next question comes from Michael Martin of Michael J. Martin & Associates.
Michael Martin: In your introduction remarks, you talked about maintaining the culture. And I was just wondering if that becomes more challenging as to grow and you get far away from your home office, and so could you us a little color on that?
Eric Lipar: Sure Michael, I appreciate the question and I would say generally yes, it does become more challenging. We have over 700 employees now and we're in 20-plus markets across the country. And as we spread out farther away from the Houston office and open up new communities, I think it does get more challenging. And I think as a company we’ve done a good job of mitigating that risk and stepping up to that challenge. We have a lot of systems in place and we train on the culture continuously to make sure we minimize that risk as much as possible because it’s important. So we've done a good job so far and I think we can continue doing a good job of maintaining that culture as we continue to grow.
Operator: We do another follow-up question from Michael Rehaut of JP Morgan.
Michael Rehaut: One thing I just failed to ask on my last follow up was following up on a community count question from before. In the past couple years, you've been able to increase community count anywhere from, you know, in ’15 and ’16 it was 12, 13 kind of like a little bit over ten a year. This year it looks like it'll be more closer to a 15 improvement. How should think over the next couple of years. I mean obviously you have more markets from which to grow and expand. So you could argue in some sense that perhaps you could increase slightly the absolute number of communities added per year. But on the same time, to some degree it gets more challenging and you have certain constraints perhaps on the top of the organization. So how should we - is it still kind of more a 10 to 15 community count addition type of business or could there be upside to that or even downside.
Eric Lipar: This is Eric, similar to how I answered Stephen’s question, we're not ready to give specific community count guidance yet, we'll get back with everybody on February call, but we're definitely going to be growing community count. And if you stay in California, Oklahoma City, Minneapolis, Portland, additional [indiscernible] in Raleigh, Winston-Salem and the Carolinas not to mention Las Vegas. I mean those communities alone can certainly handle 20 to 30 additional communities that aren’t there now. Now we still have the challenge of replacing every community that we have and that's going to cause a little bit of fluctuation. So, adding 20 to 30 communities over the next few years is certainly reasonable, but the timing is going to fluctuate a little bit whether its 18 or 19 in quarter to quarter.
Michael Rehaut: So the 20 to 30 is more of not a one-year goal, but two – like a two plus?
Eric Lipar: Correct, yeah it’s just the ramp up time of these new markets, especially California and Portland, Minneapolis, I’m just giving you example. Just in the markets we talked about, four or five communities in those markets even more so in California certain realistic. So 20 to 30 over the next couple of years for sure.
Operator: Thank you. And ladies and gentlemen this does conclude our question-and-answer session. I’d now like to turn the call back over to Mr. Lipar for any concluding remarks.
Eric Lipar: Thanks everyone for participating on today’s call and for your continued interest in LGI Homes. Have a great afternoon. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes today’s program. You may all disconnect. Everyone have a wonderful day.